Operator: Good afternoon, ladies and gentlemen, and welcome to the Q1 2017 report to shareholders and other matters conference call. I would now like to turn the meeting over to Mr. George Liszicasz. Please go ahead. 
George Liszicasz: Thank you very much, Vincent. Welcome to the investors conference call hosted by NXT Energy Solutions today. My name is George Liszicasz, President and CEO; and with me today is Bev Stewart, our CFO; Todd Chuckry, our Director of Operations; and Enrique Hung, the Director of Geoscientists for the Americas are dialing in from Houston. And Sajid Sayeed, Director of Global Business Development, cannot join us as he is currently overseas. 
 The purpose of today's call is to briefly discuss the highlights of the recent release of the Q1 2017 report to shareholders, which I hope you have had the chance to review, followed by an update of our ongoing business. This conference call, of course, contains forward-looking information. So we, therefore, caution with the standard disclaimer that such information is by its nature, uncertain and often uncontrollable, and therefore, future results may vary from the estimates and expectations. 
 I will now ask Bev to discuss our Q1 2017 financial results. 
Beverly Stewart: Thank you, George, and welcome, everyone. On the SEDAR system in Canada and on EDGAR in the U.S., you can find our Q1 2017 report which includes the MD&A and the related financial statements. All amounts today are discussed -- sorry, all amounts discussed today are in Canadian dollars, unless otherwise noted. 
 For the first quarter of 2017, we reported operating results of 0 revenue and total expense, excluding tax of $2.2 million. The net loss after tax was approximately $2.2 million or $0.04 per share based on the 53.7 million common shares outstanding. It should be noted that the loss of $2.2 million includes noncash expenses of roughly $680,000 that relate to amortization and stock-based compensation expense. 
 The Q1 results also reflected a net cost of $163,000. This is incurred as a cost of ownership of the aircraft. And the total is after deducting revenues from our charter operations that totaled approximately $58,000 in the quarter. Our charter revenue provided -- our charter operations provided roughly $20,000 of profit towards the overall operating cost of the aircraft. 
 G&A costs for the quarter were $1.36 million compared to $1.25 million for the same quarter in 2016. The reason for this increase was due to slightly higher wage costs and some late premises costs relating back to 2016. Our net cash outflow for the quarter was $1.4 million, leaving us with just over $530,000 in cash reserves at the end of March. 
 Now as we advised on the last call, a sale and leaseback transaction has been entered into on the aircraft, and we were pleased to announce in early May that this was completed and all funds were received. We continue to monitor our cash reserves very closely. And in late Q1, undertook a cash deferral program to ensure our ability to meet our ongoing obligations. 
 In addition to the sale and leaseback transaction, we have deferred some or all of the cash payments to our employees, directors and advisory board members until such times as our liquidity position improves. Should the need arise, we've obtained a promissory note from our CEO for up to $650,000. And again, should it be necessary, we will enter into an equity financing, and 1 of our major shareholders has committed approximately 335,000 in support of such a course. 
 We believe these measures, along with continued monitoring of general expenses and deferral of those wherever possible, will enable us to meet our obligations for at least a further 12 months. 
 That leads us into our main discussion topic today, and George will continue with an update on the business. 
George Liszicasz: Thank you, Bev. So I'll answer #2 is the business update to provide you a business update. Before we continue with that, I would like to take a minute to update you on the status of our patent applications. As you may be aware, we were awarded our first international patent from Russia authorities in early 2017. This was a significant development for NXT, as it was the first step if obtaining official recognition for the technology. 
 We have a number of patent applications ongoing in various jurisdictions, and we will be able to announce further patent grants in the incoming weeks as the number -- as a number are in the pros -- as a number of them are in the process of being issued as we speak. 
 Some of you may recall that back in 2011, we have completed a multimillion-dollar survey for our customer in Pakistan PPL. Following this part of the survey, PPL undertook extensive seismic work and recently commenced drilling in an area that had been recommended by SFD technology as a lead. This lead was confirmed by the seismic data and now await the final results from the drilling operation. 
 Let us now continue with the business opportunities update. Our last conference call, we discussed our business development strategies regarding new markets and prospects. Since the call was only a few weeks ago, I will now only update you on areas where progress has been made. 
 Firstly, the multiclient SFD survey that was announced last week. For those of you who are less familiar with the term, I will give you a brief description of what we are doing in Mexico. Also, please read the oil and gas journal that NXT and SFD is featured in for additional information. You can find the details of this in our recent press release. 
 The shallow water -- the shallow water 2.1 bid-round in 2017 in the region, which is the Gulf of Mexico, was announced several months ago. So all existing G&G data sets, including well log, seismic gravity, magnetics were added to the data set up by CNH, which is the hydrocarbon agency for companies to review and purchase. 
 Our SFD data was acquired for PEMEX in 2012 was later added at the request of E&P companies and CNH. However, that particular data set did not cover the 15 offshore blocks that form the part of the shallow water 2.1 bid-round. We have been encouraged by E&P companies as well as CNH and IMP, IMP would be the Mexico Institute, petroleum Institute. It's technologies that acquire new SFD data over the 15 blocks as part of the multiclient program. 
 Why is that? Because as I mentioned here -- there -- as I mentioned, there's a shortage of size -- there is no shortage of seismic data. But nor is there any new information that the interested parties can use in their analysis. 
 Furthermore seismic propagation is impeded by salt bodies that will obscure potential reservoirs. So SFD is viewed as an independent tool that could not only confirm seismically identified traps, but which may also evaluate the potential presence of reservoirs even those trapped in salt bodies. 
 We have met a number of oil and gas companies in Houston. And based on their interest, we decided to undertake this survey as we view the Gulf of Mexico as a key region of opportunity for NXT. The survey will enable NXT to acquire a large amount of SFD data that will be a value to exploration companies, both now and for many years in the future. 
 Framing it in the multiclient format provides potential customers the opportunity to compare the SFD information with their existing seismic data relatively fast at a low-cost, thus enabling them to better focus only on areas that are shown to have high track potential identified by seismic and independently confirm by SFD and reservoir potential, which is recommended by SFD. 
 Also performing the survey further increases the visibility of the SFD technology to all major players in the region. There are many potential benefits that we anticipate will come from this project, and we believe it -- it is an important step in the growth of the business. 
 So we developed this strategy for marketing the interpreted SFD data acquired during the survey to prospective figures prior to the close of the bid-round, and we also intend to market it to the successful block owners post bid closing. 
 Some of you may be wondering why we can do this now as opposed to 2 years ago? Well the most important changes are the award of the patent, drilling success and the addition of key professional people. As I mentioned, we were granted the Russia a patent, and we are expecting the grant of further patents very soon. This is significant -- this is a significant transition from a black box to a well-established, recognized and proven technology. 
 Regarding our drilling success, I would like to mention that today, it stands 14 out of 19 with an average field size of 150 million barrels of oil in place. It is roughly a 73% success rate. We are drawing on the experience and extensive industry contacts of our team and have today conducted numerous meetings in Houston and Mexico City with oil and gas companies who have expressed their interest in our multiclient package and also independent or proprietary surveys. We cannot disclose the number of participants at this time. But we will keep you advice as matters progress. 
 Our aircraft is currently deployed in Hermosillo, Mexico and is undertaking the SFD survey of 15 blocks that we will form part of the upcoming CNH 2.1 shallow water bid-round. In connection with the projects in the Gulf area in Mexico, I am pleased to advise that NXT have been invited on short notice for discussions by the new management of PEMEX. 
 On other projects, Project SHINE in Sri Lanka is still in progress. We wait for the final project award and still confident that the project will proceed, but we cannot predict with any certainty when this may be. We are monitoring the situation closely and can report that the delays we have encountered thus far are due to process and procedure. And we do not have any evidence to suggest that the contract will not be awarded. 
 Recent meetings with some local independent exploration companies here in Calgary have been very promising. And we are currently looking at the -- further developing the relationships with a number of parties who are active in the Western Sedimentary basin in British Columbia and Alberta. 
 As we have reported on our previous calls, we are still seeking to sell data to our customers in Bolivia and have received further confirmation from the customer that indicates the sale of roughly USD 500,000 will go ahead in the near future. 
 We also have a number of opportunities to license our extensive library of Columbia data to interested parties in North America. It is important to note that while we are working on these newer initiatives, we have not lost sight of the major projects that we have discussed on previous calls. For example, we had constructive meetings with the newly appointed Ghanaian government minster sorry, ministers and GNPC, which is a national company of Ghana officials during our recent trip to Houston. 
 Furthermore, we met with high-ranking officials from both the Malaysian government and Petronas just last week. As a result, we submitted a proposal at their request that outlines the plan for an ongoing relationship. 
 Our potential project in the Dominican Republic is also progressing, and our proposal is now on the desk of senior government officials for consideration and approval. In the meantime, we continue working on projects in North and South America and Africa. 
 In conclusion, we are pleased to be undertaking the current project in the Gulf of Mexico and firmly believe that this is an excellent opportunity for many new clients to access our technology and better understand its value in the exploration process. The Gulf of Mexico is an area we believe holds significant opportunity for NXT, and we look forward to updating you on our progress in the near future. 
 Thank you for all your continued support and believe in NXT. I now ask Vincent to open up the line for us to take a few of your questions. Thank you very much. 
Operator: [Operator Instructions] The first question is from [indiscernible] 
Unknown Analyst: Thank you for the update, George and Bev. I know that you're really trying to conserve cash until a big contract comes in. And I was wondering if it would be possible for you to negotiate the rent on your office to get them to drop down the rent in the near-term and maybe add that that amount back on to the back end so that you can save some cash temporarily? 
Beverly Stewart: So Hall, it's Bev. Hello again. Yes, we have actually had discussions with on landlord, and we are in an arrangement with him. Which we can't really give you details of, unfortunately, but we have had the conversation, and he's been very helpful. 
Unknown Analyst: Great. That was my only question. 
George Liszicasz: Also, I would like to remind everybody that we have Todd Chuckry and Enrique on line as well from Houston. 
Operator: [Operator Instructions] The next question is from [ Turan Hassi ]. 
Unknown Analyst: I have a question with regards to when you're going to start flying? Flying in Mexico? And what's the approximate cost of that? 
George Liszicasz: We are flying in Mexico. 
Beverly Stewart: As we speak actually. 
George Liszicasz: As we speak actually. We are doing the third flight to date -- today. The estimated cost is about, I can't say? 
Beverly Stewart: No. 
George Liszicasz: Oh, I'm sorry, I can't say. I'm very happy to say, but I cannot... 
Beverly Stewart: I prefer, you didn't. And that will be pretty confidential information. If we give a lot of cost, we're going to be struggling to sell it at a highest price as possible. So I hope you understand. 
George Liszicasz: Yes. 
Unknown Analyst: Yes. Now with regards to -- could you just give us a little more of a timetable when the data would be available and when we might start to see some potential revenues flowing in from that? 
George Liszicasz: This will take -- we will complete the entire story and interpretation on certain areas of high interest at this point of the 15 blocks. And then we will continue the interpretation and the recommendation throughout the year basically post bid. 
 So we should basically finish all operations, flying operations by -- within 20 days. But as I just mentioned to you, we are doing interpretation and recommendation ongoing. So interpretation is going to start as soon as the first processing is finished, which is probably starts tomorrow. So we are going to start doing the interpretation in the areas that were high interest areas. And then we will continue the interpretation post -- the post of the bid-round close. 
Unknown Analyst: Okay. So just to clarify some of the times. So you'll finish most of the flying by the end of May, approximately. Is that correct? 
George Liszicasz: No, it's 20 days. 
Unknown Analyst: Sorry, I thought you -- when you put that in the press release, I was going to understand that it was already ongoing at that point. Is that correct or no? When will you finish? 
George Liszicasz: We were mobilizing at that point. But there were a couple of issues with the permits and so on that have to be resolved and insurance and things like that. Some of the laws have been changed. Operational laws in Mexico that we did not -- we were not aware of and nobody was. 
 And as a result, we have to wait a couple of days on the ground. So -- but that's all behind us, and we are doing now acquisition and interpretation. And the -- again, 1 more time, the acquisition will take 20 days. And the interpretation is ongoing. 
Unknown Analyst: Okay. And in terms of the -- could you give some color on when the deadline is for submission on bids for the 15 blocks? And will that be all 15 at once? 
George Liszicasz: No, I don't think because the date is June 19. So we will continue as I mentioned to you, it depends on the interest of the blocks. Not every block is going to be going, even though it's going to be in the bid round, it's not necessarily going to be awarded. Usually, like last time, there were about 12 of the blocks and only 2 have been awarded. So this time, we are expecting more than 2, but at the same time, not all 15 are going to be awarded in our opinion as we see the interest out there. So -- but we will have all blocks completed. 
Unknown Analyst: Okay. And do you have any guidelines on when the decision on the awards will be made? 
George Liszicasz: Yes. It's the 19th of June. 
Unknown Analyst: I thought that was the deadline for submission a bid. 
George Liszicasz: It's the same thing. 
Unknown Analyst: So they're going to award them on the same-day as they receive the bids? 
George Liszicasz: Yes. 
Unknown Analyst: Okay. 
George Liszicasz: And then we will know exactly who the new block owners are, and then we will approach the block owners at that point if we don't have them already, then approach them to acquire the data from us so that they can evaluate their block and what -- which areas to drill and so on and so forth. 
Beverly Stewart: Just a quick point measure. And the good thing about this is that the CNH have approved the data so that the companies can use it as work credits. So as part of their bids applications, they have to spend a certain amount of money in Mexico and a certain amount of money on the exploration exercise. The purchase of our data does count towards that expenditure I wasn't sure if that was clear, but it's a very good -- it's important to remember that, I think, they can use it going forward. 
George Liszicasz: We are also in negotiations with companies that are interested in the onshore area as well because we are there, correct. So as long as the airplane is there, the companies can approach NXT and which are already happening as well that conduct surveys onshore. So I think that we cannot say right now exactly how long we are going to be staying in Mexico. But we hope we're going to stay there for a couple of months. Any other questions? 
Operator: There are no further questions registered at this time. I would now like to turn the meeting over to Mr. George. 
George Liszicasz: Well, in that case, thank you very much, everybody, for participating in our conference call. And hopefully, next time -- okay. I can't say that. Okay. So thank you again for participating and for your continued support.